Operator: Greetings, and welcome to the RBB Bancorp Second Quarter 2025 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Rebecca Rico. Ma'am, floor is yours.
Rebecca Rico: Thank you, Ali. Good day, everyone, and thank you for joining us to discuss RBB Bancorp's results for the second quarter of 2025. With me today are President and CEO, Johnny Lee, Chief Financial Officer, Lynn Hopkins; and Chief Credit Officer, Jeffrey Yeh. Johnny and Lynn will briefly summarize our results, which can be found in the earnings press release and investor presentations that are available on our Investor Relations website, and then we'll open up the call to your questions. I would ask that everyone please refer to the disclaimer regarding forward-looking statements in the investor presentation and the company's SEC filings. Now I'd like to turn the call over to RBB Bancorp's President and Chief Executive Officer, Johnny Lee. Johnny?
Johnny Lee: Thank you, Rebecca. Good day, everyone, and thank you for joining us today. Second quarter net income totaled $9.3 million or $0.52 per share and included $2.9 million of after-tax net income for an employee retention tax credit refund. The increase in net income was also driven by another quarter of solid loan growth and stable earning asset yields, which supported a $1.2 million increase in net interest income and a 4 basis point increase in NIM. Loans held for investment grew by $92 million or 12% on an annualized basis, with growth in almost all categories. We continue to see strong results from our in-house mortgage origination business, which originated $120 million of mortgages in the second quarter. These contributed to our total second quarter loan originations of $183 million at a blended yield of 6.76%, which will continue to support our asset yields and margins going forward. Our pipelines remain full, so we expect to continue to see loan growth, though likely at a more moderate pace than we experienced in the first and second quarters. We're pleased with our loan growth so far this year and believe we're making good progress on our efforts to expand originations. Net interest margin increased to 2.92% and has increased by 25 basis points over the last 4 quarters. Absent rate cuts, our funding costs are likely close to stabilizing at this level. And at the same time, we may see increases in yields on earning assets, which should support incremental margin increases over the next few quarters. We remain focused on resolving our nonperforming loans as quickly as possible while minimizing the impact to earnings and capital. We did have some charge-offs, which Lynn will discuss in more detail, but we do not see any increase in our total nonperforming loans in the second quarter. Criticized and classified assets increased. However, majority of the additions this quarter are loans remain on accrual status. We continue to work through our remaining nonperforming criticized and classified assets and expect to be able to report additional progress in the coming quarters. With that, I will hand it over to Lynn to talk about the results in more detail. Lynn?
Lynn Hopkins: Thanks, Jhonny. Please feel free to refer to the investor presentation we have provided, as I share my comments on the company's second quarter of 2025 financial performance. Slide 3 of our investor presentation has a summary of our second quarter results. As Johnny mentioned, net income was $9.3 million or $0.52 per diluted share. Second quarter results benefited from the recognition of a $5.2 million employee retention credit or ERC refund, which is included in other income. We also recognized related ERC advisory costs of $1.2 million, which are included in professional service fees. There is no similar income or expense in any of the other quarterly periods presented. Adjusted for the ERC refund and associated fees, net income would have been $6.5 million or $0.36 per diluted share. Also, excluding ERC related income and expense, pretax pre-provision income increased $1.4 million due to higher net interest income of $1.2 million and higher noninterest income items of $1 million, offset by higher noninterest expense items of approximately $800,000. Net interest income increased for the fourth consecutive quarter to $27.3 million and was driven by loan growth and stable asset yields. The overall loan yields remained above 6%, and was supported by the quarter's average production yields of 6.76% and loans repricing in the current higher interest rate environment. As Johnny mentioned, we had another quarter of net interest margin expansion, our fourth in a row, driven primarily by an 8 basis point reduction in total deposit costs. Our spot rate on deposits on June 30 was 2.95%, which was 10 basis points below the second quarter's average of 3.05%. So we may get incremental improvement in the fourth quarter. But until we get some rate cuts, we are likely to see big reductions in our funding costs. The second quarter also included a full quarter of more expensive FHLB term advances after they were refinanced late in the first quarter. Second quarter noninterest expenses increased by $2 million to $20.5 million, of which $1.2 million was directly related to the receipt of the ERC refund from the IRS. Higher compensation expenses related to executive management transition and incentive payments for increased loan production also contributed to the increase. We expect noninterest expenses to return to an annualized run rate of about $18 million in future quarters. Slides 5 and 6 have additional color on our loan portfolio and yields. The loan portfolio yield was relatively stable at just over 6% when compared to the last 2 quarters. Slide 7 has details about our $1.6 billion residential mortgage portfolio, which increased modestly and consists of well secured non-QM mortgages, primarily in New York and California, with an average LTV of 55%. Slide 9 through 11 have detail on asset quality, and I'll make a couple of specific points. The $2.4 million provision for credit losses was due to $1.5 million for net loan growth and the impact of economic forecasts and a reserve for a loan on a partially completed construction project. Net charge-off of $3.3 million, which has previously been established as a specific reserve were related almost entirely to one lending relationship. NPLs decreased $3.6 million or 6% to $56.8 million and represented 1.76% of loans held for investment at quarter end. Accounting for our specific reserves of $7.4 million, our net NPL exposure decreased 3% to $49.4 million. Substandard loans increased $14.6 million and totaled $91 million at the end of the quarter. The increase was primarily due to a couple of downgrades totaling $20.6 million, partially offset by charge-offs of $3.3 million and payoffs and paydowns totaling $2.7 million. Of the total substandard loans at June 30, $30.2 million were on accrual status. Past due loans increased $12.1 million to $18 million due mostly to additions and include $8.5 million CRE loan, which has since been brought current. And it's worth noting that with a 1.58% allowance for loan losses to total loans held for investment ratio, we believe we have appropriately addressed the risk in our nonperforming loans. Slide 12 has details about our deposit franchise. Total deposits increased at a 6% annualized rate from the first quarter to $3.2 billion, with growth in noninterest-bearing deposits and CDs more than offsetting a decline in money market accounts. Our tangible book value per share increased to $25.11. Our capital levels remained strong with all capital ratios above regulatory well-capitalized levels. With that, we are happy to take your questions. Operator, please open up the line.
Operator: [Operator Instructions] Our first question is coming from Brendan Nosal with Hovde Group.
Brendan Nosal: Maybe just starting off here on capital and the buyback. I think you announced the $18 million buyback in the middle of the second quarter used a little bit of it in the month or so you had it. Can you maybe just speak to how active do you want to be with that new program, just given where shares are trading, but also factoring in credit work out?
Lynn Hopkins: Sure. Thanks, Brendan, for the question. So based on the timing of when we had the opportunity to announce the buyback, we think -- that's a little bit why you've seen the modest participation. We obviously view our stock attractive at its current trading price relative to our tangible book value. The amount that got approved based on current trading prices would represent about 5% of our stock. So we view it as a modest amount of cash. I think we have sufficient liquidity and affordability and with respect to how it relates to the fact that we have been working through kind of our higher elevated NPL levels. We've had plenty of capital to support that initiative, plus our high coverage ratio, I just kind of concluded my comments with. So I think we're able to do both.
Brendan Nosal: Okay. All right. Great. And then maybe turning to asset quality. Can you offer a little more color on the loans that were downgraded both to substandard and special mention for the quarter?
Johnny Lee: Over the quarters, and we have about $27 million of the downgrade to special measure mainly because the bank actually is enhancing our credit quality control. The difference is that we have more frequent control for those credit. Those credits are many those bridge and get loan that they have -- we see a little update in stabilizing the income. They are paying agree and then the LTV are still manageable. However, this is one of the management's efforts to enhance operating control on that. So you can see a increase special mention that is notable to the information that compared to the previous quarter, but we consider as a credit enhancement.
Lynn Hopkins: And then on the few downgrades to substandard. I mentioned it was mostly driven by 2 credits that remain on accrual status. And there are examples of, one, transitioning to the higher interest rate environment and working with the borrower. So again, current and going through transition. So we believe there's some conservatism in our view. But nonetheless, felt that, that was the appropriate classification for the end of June. For those couple of credits. There were some smaller ones as well, but those -- there's 2 main credits that got added during the second quarter.
Brendan Nosal: Okay. Okay. That's helpful. Maybe I'll just sneak one more in here. This year, you've been kind of pursuing this dual path of growing loans again and trying to kind of move the top line higher while also working through asset quality issues. I mean like for how long is that dual path sustainable for like if we're still seeing inflows into criticized presumably, it takes a little longer to work that out. Is there still the ability to and desire to keep growing loans at the same time as you work through credit issues?
Johnny Lee: Yes, this is Johnny. I think we certainly can continue to do that. We also continue to be very laser focused of the NPL that's on our hand. I think we're making good progress in that respect. And at the same time on the growth side, I mean, our -- just as I comment in previous quarters, it's always been very healthy. We have a very healthy pipeline. So certainly, we feel that we can manage that well with the dual path that we're taking.
Lynn Hopkins: Yes. Brendan, I would just add to Johnny's comments. I think we're executing on the business model, right? So healthy pipeline able to convert them into 12% annualized loan growth. We've shown strength in both our mortgage portfolio and commercial portfolio. I think you saw some additional loan sales this quarter. We would expect potentially some of that to increase in the second half of the year, which I think kind of speaks to how we continue to manage our loan-to-deposit ratio. And then we're already covering, when we had our loan growth this quarter, when you exclude our specific reserves, our coverage ratio is up at about 136, 138. And given that it's future looking, I think there is still opportunity for maybe that would actually come down a little bit as we finish resolving some of these larger credits that have taken center stage for the last couple of quarters.
Operator: Our next question is coming from Matthew Clark with Piper Sandler.
Matthew Clark: Just first one, just on the kind of loan and deposit growth deposits trailing loans here, loan-to-deposit ratio, obviously, up over 100% now. But it does sound like the pipeline on the loan side remains healthy, and you also expect maybe a measure -- more measured pace of growth going forward. So just trying to kind of think through those moving parts? And is it -- is there some deliberate effort to maybe tighten the screws a little bit on the pipeline? And just any commentary around your outlook for deposits?
Johnny Lee: I can comment, Matthew, this is Johnny. Well, we -- I guess we grew on the loans because we've always focused on quality first with all the new loans that we are bringing to the bank or new relationships. So we've always been very selective so far as far as the new loans that we -- new relationship we bring into the bank. Obviously, the deposit side, we're continuously trying to find ways to originate more organically new deposits through various -- for example, we recently launched a special promotion program on money market sort of bundle package that's bringing in pretty good -- again pretty good traction as far as bringing in new deposits as well to support the funding. So we I recognize the loan-to-deposit ratio is high, but I think towards the second half as we continue to grow the loan, there's certainly potential opportunities for us to maybe sell some loans to take the pressure off a little bit. But we -- again, we will continue to manage that is trying to keep that in a good balance.
Lynn Hopkins: Matthew, I think in the investor materials, we've shared our new production levels were $180 million this quarter at a rate of kind of $675 million and how that compares to prior quarter. So our annualized growth rate up at 12%, I think it was slightly higher than that in the first quarter. I think it's been strong, and we've kept our origination rates fairly high given the current market. So I think we're evaluating that. I think that there's probably some net loan growth, we would expect potentially some loan sale activity to pick up in the second half of the year. And then just to comment on deposits. I think that we have been very successful in growing organic deposits, and we can -- we have plenty of capacity for wholesale funding. So there's room to bring the loan-to-deposit ratio down a little bit if need be. So I think we're watching that closely, but very comfortable with where we ended the quarter.
Matthew Clark: Okay. Great. And then on the deposit cost side, an expectation for maybe some stabilization without Fed rate cuts, spot rate obviously down, just helpful going into 3Q. But do you feel like even when the Fed does start to cut that deposit costs might not come down as much as you previously thought just because you need to keep rates up to generate the deposit growth?
Lynn Hopkins: So that, I would like a crystal ball for. Look, I think there is a lot of competition for liquidity, and I don't think that's going to change even when rates come down. But we were successful in moving our deposit rates down almost 100% after rates moved down 100 basis points. So while there could be somewhat of a lag, I would expect we would be successful in moving down our cost of funds should rates decrease. We remain liability sensitive. But it doesn't happen overnight, and it would stair step down, but that would be our expectation that we would be able to push down on our deposit costs. I think historically, we've shared to the extent it's helpful as we look out over the next quarter or so about 1/3 of our CDs that are maturing that are coming off at about 415, 420 and I think those have an opportunity to price down into the current market, not a significant amount because rates are higher for longer, but somewhat.
Matthew Clark: Okay. And just to clarify the amount of CDs that are coming due this quarter and I assume new pricing is around 4.
Lynn Hopkins: Yes, yes. It's -- so it's basically all of our CDs. So all of our CDs mature within 12 months, I think, like 99.5% and then 1/3 of them mature next quarter. And we've had a pretty even CD ladder over a 12-month horizon. And those have continued to just reprice into the current market.
Matthew Clark: Okay. Great. And last 1 for me, just to clarify the expense run rate going forward. I think I may have heard you say $18 million, but I think if you exclude some of the noise, it is around $19 million this quarter. So just wondering where the relief is coming from.
Lynn Hopkins: Sure. So the rest of it, we had a little bit of extra costs associated with the executive management transition. I think there is some timing items related to, I think, some of our director compensation. We filed some form 4s associated with them. And then I think just the timing on some legal costs accumulated this quarter. So I think some of that's expected to normalize and bring us back down to about $18 million.
Operator: Our next question is coming from Andrew Terrell with Stephens.
Andrew Terrell: I wanted to go back to some of the credit discussion in some of the -- I think, an answer to your prior question, it sounded like you mentioned you were maybe changing up or tightening kind of the credit control process. I was hoping you could just kind of expand on that point a little bit more. And does that necessitate kind of a more full portfolio review under newer standards? Or could you just maybe kind of elaborate on that a little bit.
Lynn Hopkins: Andrew, it's Lynn. I'm going to turn it over to Jeffrey in a second. I just want to make 1 comment regarding that. So in the majority in a special mention, it relates to one type of loan, which was our GAAP and bridge financing. And that is a smaller part of the portfolio. So it's not necessarily all the way across all loan categories. And I think the majority have been addressed and are reflected in the results that you see in the second quarter. And then we'll carry that forward and then we'll move them. Special mention is expected to be a temporary holding place for them. So Jeffrey can answer it more fully, but it just -- that was how I would clarify.
Johnny Lee: This is John. We're just simply taking a more conservative approach to making sure we're keeping an eye on these credits, but they're very, very manageable loan-to-value ratio, global cash flow is strong. And none of these borrowers here that move to special mention have pass due. They are all current and accruing.
Andrew Terrell: Okay. Understood. I appreciate that. And then Lynn, I think you talked about maybe some more loan sales in the back half of the year. I'm assuming that's single family. And do you have the amount that was sold this quarter as you pick up in the gain on sale line. Just wondering if you have any kind of expectation for the back half?
Lynn Hopkins: I don't know that there is anything that we can share for modeling purposes. I think it's more the level of production, the type of products that we have and managing the size of the portfolio relative to the whole balance sheet. So we see opportunity there. On the single-family portfolio, I would just share that the premiums are pretty small in the market. Obviously, if rates come down, those might have a better opportunity. depending on how prepayment speeds play out. But we also have opportunity with our SBA loan portfolio. And I believe Johnny has spoken in the past, we've added some resources in that area. So I think that's an area that's increased some production, and we usually sell the guaranteed portion. So the combination of the 2 would be what we'd be generating any gains.
Operator: [Operator Instructions] Our next question is coming from Kelly Motta with KBW.
Kelly Motta: Most of mine have been addressed at this point, but I did want to touch base on the deposit side of things. You did have some nice noninterest-bearing growth this past I'm wondering if you could provide some color as to the drivers of that. I know C&I has been a focus here, and you did have some growth now for the last several quarters. So wondering if you could provide your track record with gaining commercial customers and how that's tracking? And any sort of color as to what drove the noninterest-bearing increase this quarter.
Johnny Lee: Kelly, this is Johnny. I can make some comments, maybe colleague, you can also add if you'd like. Thanks for the question. First of all, the I think the combination of things. I think to our frontline associates credit via branch or commercial lenders, we've been very focused on ways to deepen and expanding the relationships that we have right now. And certainly, that has brought some additional DDA deposits, I think, to us. Also with the new relationships that we bring in, obviously, we're very much focused on -- particularly on the C&I side, even though as overall bank's total mix of the loans is still relatively small, but then they do contribute to good DDA deposits for us for any of these new C&I relationships that we bring in as well. So I think the combination -- and obviously, I mentioned earlier about we have certain promotional sort of promotions that we've launched to try to generate more new relationships by bundling money market and DDA sort of product. And we just -- we only launched it just, I think, beginning of June, June 1, when we first launched that. And actually, that's been building up very good momentum for us as far as bringing new relationships that provide not only money market sort of deposits, but at the same time, a combination of including the DDA deposits as well.
Lynn Hopkins: And then Kelly, I think when you're looking at our trends, what we observed was, I think we had a couple or 1 or a couple of larger withdrawals in the first quarter. And I think the composition and more granularity to our noninterest-bearing deposits with sort of the efforts that John described. So that's what we're observing.
Kelly Motta: Great. That's helpful. And then maybe just 1 last modeling question from me, Lynn. Your tax rate was a little lower this quarter, I think it was around 28%. Is this a good run rate on a go-forward basis? And I'm wondering if this change in the California tax law has any material impact on your outlook for the tax rate?
Lynn Hopkins: Sure. So good question on the California tax rate. We did include the impact to our taxes in this quarter. So we did have a small catch-up impact in the second quarter, and it won't have a material impact overall, but we will actually have a little bit of a benefit from that. So I think it's a reasonable tax rate. We've been below the effect of -- or the statutory rate anyway. But yes, both are in there, Kelly.
Operator: As we have no further questions on the line at this time, I would like to hand it back to Mr. Lee for any closing comments.
Johnny Lee: Thank you. Once again, thank you for joining us today. We look forward to speaking to many of you in the coming days and weeks. Have a great day.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference. You may disconnect your lines at this time, and we thank you for your participation.